Operator: Good day, and welcome to Symantec's Second Quarter 2013 Earnings Conference. Today's call is being recorded. At this time, I'd like to turn the call over to Ms. Helyn Corcos, Vice President of Investor Relations. Please go ahead.
Helyn Corcos: Good afternoon, and thank you for joining our call to discuss our second quarter results for fiscal 2013. With me today are Steve Bennett, Symantec's Chairman, President and CEO; and James Beer, Symantec's Executive Vice President and CFO. In a moment, I will turn the call over to Steve. He will make a few opening remarks, then James will provide quarterly highlights and review our financial results, as well as discuss our guidance and assumptions. This will be followed by a question-and-answer session. Today's call is being recorded and will be available for replay on Symantec's Investor Relations website. A copy of today's press release and supplemental financial information are posted on our website as well. Today's prepared remarks will be posted on the IR site after the call is completed. Before we begin, I'd like to remind you that we provide year-over-year constant currency growth rates in our prepared remarks unless otherwise stated. Earnings per share growth rates are provided on an as-reported basis. We use foreign currency rules of thumb in our guidance section for all constant currency year-over-year growth rates. For the September 2012 quarter, the actual weighted average exchange rate was $1.25 per euro and the end-of-period rate was $1.29 per euro, compared to our guided rate of $1.23 per euro. These compared to the September 2011 quarter, where the actual weighted average rate was $1.41 per euro and the end-of-period rate was $1.34 per euro. We've included a summary of actual and currency-adjusted growth rates in our press release tables and in our supplemental information which are available on the IR website. Some of the information discussed on this call, including our projections regarding revenue, operating results, deferred revenue, amortization of acquisition-related intangibles and stock-based compensation for the coming quarter contain forward-looking statements. These statements involve risks and uncertainties that may cause actual results to differ materially from those set forth in these statements. Additional information concerning these risks and uncertainties can be found in the company's most recent periodic reports filed with the U.S. Securities and Exchange Commission. Symantec assumes no obligation to update any forward-looking statements. In addition to reporting financial results in accordance with Generally Accepted Accounting Principles or GAAP, Symantec reports non-GAAP financial results. Investors are encouraged to review the reconciliation of these non-GAAP financial measures to the most directly comparable GAAP results, which can be found in the press release and on the IR website. And now I'll turn it over to our CEO, Mr. Steve Bennett.
Stephen M. Bennett: Thank you, Helyn, and good afternoon, everyone. When a company announces an unplanned CEO change, you never know what to expect because of all the uncertainty that's created. Thanks to the focus and dedication of all Symantec employees, I'm pleased to report that the team stepped up during this transition. While working on our plan to change and improve the company for our customers, employees, partners and shareholders, we executed well in the second quarter, delivering better-than-expected financial results. While the team focused on delivering in the current quarter, we are also working on creating value over a longer term time horizon. Starting with a clean sheet of paper, the team is hard at work developing a strategy and operational plan that will help us deliver even more value for our customers and partners. So we win in the market and improve our financial performance. Our goal is to deliver a strategy and plan that will consistently deliver greater than 5% organic growth and 30% operating margins within the next 2 to 3 years. At this point, we believe we will reach sustained greater than 30% operating margins faster than 5% sustained organic growth. This plan will be one that both the leadership team and the board believe we can deliver against in the short and long term. In the meantime, we are also -- we also continue to evaluate all of our strategic alternatives to create shareholder value and believe we are on track to share our new strategic direction and operational plan in late January of 2013. We are moving to quickly change so we can continue to improve our performance on a global basis. With more than 50% of our revenue coming from outside the U.S., we can no longer operate like a U.S.-based company with global distribution. As you can see from our recent history, our growth rates are higher outside the U.S. Our head of worldwide sales will be leaving the company. To better position us to win globally, we've decided to elevate the geo leadership roles and have them report directly to me. This move expands the scope of our regional leaders, making them ambassadors and general managers of their geographies. While their primary focus will be sales in their geographies, they will also play an expanded Symantec leadership role. We believe this will allow us to accelerate our pace of change and make better and faster decisions so we perform at a higher level on both a global and local basis. I'd like to spend a moment on our guidance for the December quarter. We're pleased that revenue and deferred revenue continue to grow year-over-year and sequentially, especially in this uncertain global economic environment. However, operating margin is lower in the December quarter than either the September or year ago December quarters. This may seem counter to what I told you in September, that we would self-fund investments without reducing operating margin. And that's still my commitment. After our January announcement, we will self-fund this and future investments without reducing operating margin. But we need to make these investments now and not wait until after the January announcement to set the foundation for longer term organic growth. The investments will be allocated to areas like technical support, so we better serve our customers and partners. This is the right thing to do to create long term shareholder value, no matter where we come out on our strategy and operational plan announcement in late January. Over the past 90 days, I met with front-line employees, customers and partners, industry experts and shareholders all around the world. Our customer is saying what you probably already know. They want us and need us to become better and to win, but think we're getting in our own way. We must become more customer and partner solutions focused rather than product-specific. We must move faster to solve their future versus their past problems. And we must become easier to do business with and less fragmented as a company to become a better and stronger partner. I've been positively surprised by the amount of unmet and underserved needs customers have in this challenging and fast-moving security and information management market. And while I still have a lot to learn, I can say with confidence that there are plenty of big opportunities for Symantec. To take advantage of these opportunities, we need to think and act differently, both strategically and operationally in ways that leverage all of our significant assets to better solve our customers' most important problems. And that's what the January announcement will be all about. With that, I'll turn the call over to James for a detailed review of our quarterly results.
James A. Beer: Thank you, Steve, and good afternoon. We posted better-than-expected second quarter results with record September revenue and deferred revenue, as well as strong operating margins and EPS. These results drove our organic constant currency revenue growth to 3% for the September quarter year-over-year. GAAP revenue grew 5% to $1.7 billion, driven by strengthen in our Security and Information Management businesses. Our hosted archiving acquisition of LiveOffice contributed $10 million in revenue, which was better than expected. Our subscription business continues to grow. In constant currency, content, maintenance and subscription revenue grew 7%, while license revenue declined 9%. Subscription revenue, which includes our consumer, authentication, MSS and SaaS offerings grew 10% and accounted for 45% of total revenue as compared to 42% of revenue in the year ago period. Enterprise subscriptions, which exclude our consumer offerings, grew 24% and accounted for 14% of total revenue as compared to 12% of revenue in the year ago period. We recorded a strong quarter in our Consumer business despite the challenges we've seen across the PC industry. The Consumer business grew 3% year-over-year to $528 million and generated its 16th consecutive quarter of growth. These results were driven by up-selling customers to our premium suites at improved pricing and growing our emerging backup, NortonLive Services and mobile businesses. Our Consumer business is ready for the release of Windows 8. In third-party testing, Windows 8 ran 50% faster and 20% safer when paired with our new Norton solutions versus machines running the Windows Defender alternative. PCs with pre-installed Norton trialware will begin shipping with the Windows 8 launch on October 26. Moving on to the Enterprise. The Storage and Server Management segment, which consists of our Information Management and Storage and Availability Management businesses grew 2% and generated revenue of $595 million. Revenue from the Information Management business increased 2% year-over-year, driven by NetBackup and appliances, but offset by weakness in our Backup Exec product. Sales of our backup appliances continued their momentum as we expanded our footprint across more geographies. Customers continue to be attracted to our integrated backup and deduplication offering, which is proving to be an easier to deploy solution with a lower total cost of ownership. We are also seeing good traction building for our Backup Exec Appliance which was just launched last quarter. We continue to work through our Backup Exec software challenges. We are focusing on restoring some of the functions and performance characteristics that were available with the older versions of the product. We are making progress, but there is more work to do. Revenue in our Storage and Availability Management business increased 1% year-over-year as we see customers continuing to deploy more mission-critical applications on Linux and virtualized infrastructures. Headwinds from the decline in our customers' usage of the Solaris platform are being offset by increased penetration in both the Linux and Windows platforms. This business continues to be highly profitable, generating strong cash flow for the company. The Security and Compliance segment grew 9% year-over-year and generated revenue of $512 million, driven by double-digit growth in all of our emerging security businesses, and our continued leadership in Endpoint Protection. In particular, SEP 12 continued its success in the large Enterprise segment. This was particularly true in the Europe, Middle East, Africa region, where we won several competitive tenders with large governments and corporations. Data Loss Prevention was one of our security businesses that recorded double-digit growth. EMEA and Asia Pacific/Japan, both geographies that have traditionally been slower to adopt DLP are now seeing an uptick in demand for our solution, as demonstrated by several large financial services wins. Our Trust Services business continues to perform well, in part because SSL authentication is now being used to protect all interactions with many corporate websites, not just those web pages involving monetary transactions. Our Services business grew 7% year-over-year to $64 million in revenue. Turning now to total company margins. Consistent with the growth we are experiencing in our subscription and appliance businesses, non-GAAP gross margin declined 80 basis points to 84.6%. Given the higher cost of goods sold associated with these businesses, we expect this gross margin trend to continue going forward. Non-GAAP operating margin grew 250 basis points year-over-year to 27.5%. Operating margins were better than expected due to higher revenue and lower spending across the company. Net income of $322 million resulted in fully diluted non-GAAP earnings per share of $0.45. Improved operating leverage from better-than-projected revenue positively impacted EPS by approximately $0.04. Lower-than-forecasted PC OEM fees accounted for $0.01 per share of improvement and tighter spending across the company accounted for approximately $0.02 of benefit to EPS. Continued growth in our subscriptions and maintenance businesses drove deferred revenue growth of 5% year-over-year to total $3.62 billion. We exited the September quarter with $4 billion in cash, cash equivalents and short-term investments driven, in part, by the proceeds we received from our $1 billion senior note offering on June 14. As we exited the September quarter, approximately 42% of our cash balance resided in the U.S. which includes the $1 billion in net proceeds from the June debt offering that will be used to retire our $1 billion convertible notes maturing in June of 2013. Excluding this $1 billion, approximately 23% of our cash balance resides in the U.S. We continued repurchasing our shares during the quarter, spending $200 million of our domestic cash to repurchase 12.1 million shares at an average price of $16.48. Symantec has $483 million remaining in the current board authorized stock repurchase plan. Cash flow from operating activities was lower year-over-year, driven by higher tax and severance payments, as well as lower previous quarter billings which, in turn, impacted September quarter cash collections. Foreign currency movements also negatively impacted operating cash flow by $18 million year-over-year. Cash flow from operating activities for the September quarter totaled $178 million. Now I'd like to spend a few minutes discussing our guidance for the December 2012 quarter. We expect GAAP revenue for the December 2012 quarter to be in the range of $1.72 billion to $1.75 billion, flat to up 2% on an as-reported basis, and up 1% to 3% in constant currency. Approximately 73% or $1.27 billion of our December quarter revenue is estimated to come from the balance sheet. GAAP earnings per share are estimated to be between $0.17 and $0.19 as compared to $0.32 in the year ago period. Non-GAAP earnings per share are estimated to be between $0.36 and $0.38 as compared to $0.42 in the year ago period. EPS is projected to be lower due to our decision to spend more in the coming quarter in areas that will better serve our customers' needs. In addition, on a year-over-year basis, our interest expense is higher by approximately $0.01 due to our recent debt offering, and we're expecting another $0.02 impact driven by a higher tax rate, foreign exchange movements, and the liquidation of certain accounting entities as we work to further simplify our operating structure. GAAP deferred revenue is estimated to be between $3.765 billion and $3.825 billion, up 3% to 4% on both an as-reported and constant-currency basis. Our guidance assumes an exchange rate of $1.30 per euro versus the weighted average rate of $1.35 and the end-of-period rate of $1.30 per euro in the December 2011 quarter. Our $1.30 per euro assumption reflects a decrease of 4% from our weighted average rate in the year ago period. Our guidance assumes an effective tax rate of 28.5% and a common stock equivalents total for the quarter of approximately 700 million shares. And now I'll turn it over to Helyn so that we can start taking some of your questions.
Helyn Corcos: Thank you. Operator, will you please begin polling for questions?
Operator: [Operator Instructions]
Helyn Corcos: While the operator is polling for questions, I'd like to update you on our upcoming conference events. We will be presenting at the NASDAQ Investor Program on December 5 in London. Lastly, we'll be reporting our fiscal second quarter results on January 23, 2013. For a complete list of all of our investor-related events, please visit the Events section of the IR website. Operator, we're ready for our first question.
Operator: [Operator Instructions] And we'll move first to Brent Thill with UBS.
Brent Thill: Steve, impressive operating margin during the quarter. I guess I had a couple of questions. One is just from your perspective, where are you still seeing the biggest opportunities to help drive operating margin, you saw good margin improvement? And then secondarily, maybe James, if you can just comment on your comment to spend more in Q3 to serve customers' needs? I guess if you could just help us understand that comment a little more and drilling into that, that would be helpful.
Stephen M. Bennett: Brent, I think that -- this is Steve. I think I basically had very little to do with the performance of the organization in this last quarter. I give the credit just to the volume, the profitability that came from the volume leverage that came in very stronger than frankly we expected. I think that the big area of opportunity, and we'll talk more about this in January, is we have an inordinate amount of complexity in this company. Complexity and redundancy as we've basically grown through acquisition that we didn't integrate and assimilate and has made us unwieldy in terms of complexity, as I've said, and extra costs. And we're not leveraging our size and scale. So I think we'll talk about that more in January, and I want to answer the second question too, because I made the decision that we needed to invest more money to put out -- to deal with some legitimate and real customer issues and challenges we have supporting our customers. We have been reducing costs in areas that were hurting our position with customers, and I decided to turn that around. And no matter where we come out in January, these are strategy-independent decisions to do a better job of serving our existing customers and start earning some of the goodwill back that we've been eroding over the last period of time. And so I will more than fund for this investment after -- as a result of things we're going to announce in January. So that was my decision to stem the bleeding, frankly, in terms of how we were delivering. A big part of it is technical support because we can't grow if we don't have -- if we don't do a better job supporting our existing customers with our existing products. And so that's what the big investment is, and it's the right thing for our company to do.
Operator: Next, we'll move to Brad Zelnick with Macquarie Capital.
Brad A. Zelnick: Steve, as I listened to James' comments around the Storage and Availability business, it sounds like it's stabilizing. It's relevant to modern computing architecture, like Linux in virtual environments. It generates a lot of cash and maybe isn't as nonstrategic as some might think. Is there anything you've learned over the past 3 months that impacts your thinking as to whether or not this business is essential to Symantec's future?
Stephen M. Bennett: I think I'll tell you more about this, but I think the thing I would share at this point is -- I'm building on your thoughtful comment is that -- we have some of our best IP in the company and most talented resources in this heavily engineered product that we clearly have to diversify or focus resources on solving different customer problems, that in the long term, if we just played business as usual and defined the product as it was, it would be a declining asset. And unfortunately, we've been actually managing it, in my opinion, as a declining asset. So we're thinking now about what would happen if we managed it is an asset that could really help solve important customer problems and focused on it as resources to help us drive accelerated growth, solving new customer problems. Now while I say that, I mean, we've been selling SAMG with a generalist sales force which, I think, may not be the accurate go-to-market strategy given that this is a million-dollar-plus architecture-driven decision. So I think we could execute a lot better, and why I say that, we're still looking at all of the strategic options. But we've never played, in the last few years, our A game in this business using this as, as not necessarily a product, but as a set of assets that we could deploy to solve important customer problems and grow faster. So we're going to compare that strategy against the strategy of inorganic options and see how that fits. So hopefully, that sheds some light on my latest thinking which is in line with your question.
Brad A. Zelnick: It does, Steve. And if I can ask a quick follow-up for James. James, on the Consumer business, can you maybe comment a little more about unit versus ASP growth? And specifically, was there a price increase in Norton this quarter and just maybe -- just the general pricing strategy relative to what it's been in the past?
James A. Beer: Well, on the NIS and 360 side, we increased renewal pricing about 10 months ago now and added $10 to that. So yes, we have seen some ASP lift as a result of that. We've also seen a nice continuing growth in the emerging Consumer businesses that we have, both the service live help and the backup type businesses as well as mobile. So we're pleased with the overall result from Consumer this quarter.
Operator: Next, we'll move on to Walter Pritchard with Citi.
Walter H. Pritchard: Steve, I wonder if you can talk about the SAMG business. It sounds like the headwinds there abated a bit this quarter. I'm wondering if that's a trend that you see sustaining or if that was more of a blip that you're seeing here in the short term?
Stephen M. Bennett: Walter, I think the -- number one, I still have a lot more to learn. But I think we're still considering all of our alternatives. But I want to conserve -- compare our A game in playing and what would he do to maximize the value of these technologies as opposed to harvest this business. And so I think that's the process we're going through in our strategic review and then we'll share more in January in terms of where we come out. But we're right in the middle of the process. James has some thoughts he wanted to add too.
James A. Beer: So this quarter's result, I think it's illustrative of the traction that we're getting around our high-availability product sets in Linux environments, particularly in virtualized environments. And that's a theme that I would expect to continue to build over time.
Walter H. Pritchard: And then just around the investment you mentioned at the end [ph] of the quarter, you mentioned tech support, are there any other examples? It does seem like a relatively large investment and maybe something that's hard to do just very short term. But what other types of investments beyond that tech support are you contemplating?
Stephen M. Bennett: I think the primary one is making investments and better serving our customers and partners. And then there's some -- as James talked about, a few cents a share and year-over-year compares where we have tougher compares. And so the investments, I think, are significant enough to mention and the right thing to do. But I wouldn't focus too much on the investment versus the year-over-year compare. And as I said, the big message on this is, we're going to self-fund this investment and future organic investments without any compression in margin.
Operator: We'll move next to Aaron Schwartz with Jefferies.
Aaron Schwartz: Just a follow-up question on the Consumer business. Steve, I don't know if you have a view yet, but as you think about transitioning this to mobile over time, do you have any sort of thoughts on routes to market and whether the business is sort of constrained in targeting that growth opportunity? Or any initial thoughts on that would be terrific.
Stephen M. Bennett: Well, number one, I think Janice and the team have done a really nice job. I mean, when I came or as a board member I heard and read all the things about, this iceberg is going to melt and for 16-plus quarters in a row, the iceberg has actually been growing. So I think that's a tribute to Janice and her team and how well that team has performed against all these headwinds, even in a shrinking PC market as the world has gone to -- more and more to tablets. So a tribute to her. At the same time, I think our company has put constraints on Janice and her team solving for a margin percent that has hindered our ability to invest in and grow and solve new and exciting customer problems. I think we started to change that philosophy, and I think Janice and her team now are thinking about new customer problems we could solve to grow the iceberg even bigger and faster. I would tell you, and I've talked to Janice about it, I think we spent too much money in our legacy business and not enough money on new things. So I think we expect the iceberg to continue to grow from investing in new things, and I think if we do this right, and I believe we will, we'll self-fund that. And over the long period, I think margins will go up in Consumer too.
Operator: We'll move on to Adam Holt with Morgan Stanley.
Keith Weiss: This is actually Keith Weiss sitting in for Adam Holt. Digging into the investments into -- or perhaps digging into how you're able to hold down expenses this quarter versus the investments you're making last quarter, how should we think about that from a headcount perspective? I mean, to me it looks like OpEx was basically flat from the June to the September quarter. Were there any headcount reductions in there? And vice versa, for the rather large uptick in OpEx we were looking for in December, what type of headcount increases will we see behind that?
Stephen M. Bennett: I think the simple -- this is Steve. I think the simple answer is, my management team and I know we're going through a transition period until we announce a new strategy and operational plan targeted on 5% sustained organic growth and 30% margins. Our company is too complex. We have lots of opportunity for streamlining. And I think the discussion we've had, number one, is we've had no risks [ph] , and there's been no reductions in force of any size to make these numbers. What we're doing is we're being prudent about what we're investing in, in anticipation of the January announcement. And I think this has just been kind of a smart way to approach the transition between the time I started and what we announced in January. So there's been no master plan other than be thoughtful about the decisions we make every day.
Keith Weiss: Got it. And then perhaps as a follow-up, in changing the very top of the sales organization, of getting rid of the worldwide head of sales and having the geo leaders report up to yourself, are there any other changes that go further down in the organization or is that it? It was just really right at the top?
Stephen M. Bennett: I think the news -- there's a couple of other things that are related to that, but I don't think they're material to investors at this point of time. And I think the thing I would say is, I'm quite excited now to take a layer out, have the geo leaders work directly for me so we can move to more quickly to be a more global company versus a U.S. company that ships stuff around the world with global distribution. And I also think, with the geo leaders and a couple sales leaders in the U.S. working directly for me, we'll be able to drive change much faster and help us improve our execution and do a better job for our customers. So I think this is really about those 2 things. So I'm excited to see how the new team steps up and delivers, and I think they've got a great opportunity.
Operator: And we'll move next to Greg Dunham with Goldman Sachs.
Gregory Dunham: A question on cash flow as you look forward. I know there was some temporary stuff in the September quarter, but when you look at it on the first half of the year basis, it's still down significantly. How should we think about normalized cash flow over the past 6 months and how should we think about cash flow compared to kind of the net income profile as you look forward in the back half of the year?
James A. Beer: I think what you can expect from our cash flow growth over time is that it's going to line up approximately with operating profit growth. I think obviously, in any one quarter, you're going to have various ins and outs that are going to drive dislocations, if you will, on a year-over-year basis. But I think that the way to really model this is cash flow growth in line with operating profit growth.
Stephen M. Bennett: I think our quality of earnings is very consistent and high-quality. So we should -- over a longer period, an annual basis, we should see pretty strong alignment.
Operator: We'll take Phil Winslow with Crédit Suisse.
Sitikantha Panigrahi: This is Siti for Phil Winslow. Steve, you mentioned how you now have a geo-based sales force reporting in to you. Could you comment on what your view of the structure of the sales force is beyond that, particularly in terms of product specific specialization in addition to geo-specific management?
Stephen M. Bennett: Well, I think it's a really good question that I'll answer in January. I think that we are in the process, as we've talked about, of looking at our -- relooking at our entire product and market strategy, as well as our go-to-market strategy. And I think you should expect a reasonable good degree of change in the January announcement from what we've traditionally done. I think this announcement that was made today is a strategy-independent announcement that is the right thing to do now, no matter what the strategy is. And so stay tuned for more. And I think this change today will help us move faster in the direction that we want to go when we declare that direction in January. So stay tuned for more details on what's coming because this really is the news today. But there's more news coming in January.
Operator: And we'll move to Ed Maguire with CLSA. Edward Maguire - Credit Agricole Securities (USA) Inc., Research Division I was wondering if you could just comment on the overall -- your expectations around how Windows 8 may impact the overall Consumer business, how your placements are in terms of OEM relationships and what the dynamics are in terms of your -- sort of the broader competitive landscape in the Consumer?
James A. Beer: The first thing I'd point out is how our Consumer business growth is being in significant part driven by the new businesses around mobile, live services and backup. So the traditional linkage between PC shipments and Consumer business growth at Symantec has clearly broken down over the years. So that's how we have been able to sustain very consistent Consumer growth now over several years. So I think that's really important to focus on. That said, as I had in my prepared remarks, our products are absolutely ready for the Windows 8 environment. We feel as though Windows 8 is clearly going to run better, run safer with our software versus the Defender software. So we like where things stand.
Operator: Next, we'll take John DiFucci with JPMorgan.
John S. DiFucci: My question is on the Americas. When you look at your regions, the Americas was the weakest region in regards to growth on a constant-currency basis. And it really doesn't look like it was a very difficult comp. Can you talk a little bit about that? Obviously, we have issues in other parts of the world. I mean, the macro economy isn't great anywhere, but it was just kind of surprising to see the Americas the weakest.
James A. Beer: This is a quarter where obviously the federal government year-end falls. So there was relative versus other years, some softness there in the Federal business. But we'll continue to be competitive across the product set. I was really pleased with the NetBackup performance, for example, and the performance of the security business, overall. The information security businesses, in particular, showed very nice growth, and that was the case across the world. So yes, Americas, less growth overall, but we were pleased with the totality of the picture.
Stephen M. Bennett: John, this is Steve. I guess I'd be less sanguine on this than James. I actually don't think we've been performing as well in the Americas as we have in other parts of the world, and I'm expecting that the team will be more focused and execute better going forward. I hope that's right, but we'll see. And as I said, I think as we move toward January, we'll have more news, and I think things that will help make sure that we're growing the Americas in a way that's consistent with the rest of the world. We can do better in the Americas, and we're working on learning what the root cause of this underperformance on a relative basis is. And we'll deal with it as we go forward. But don't know the answers yet, but it's unacceptable performance to me.
John S. DiFucci: Okay. Great. Steve, so that -- I don't want to -- I just want to make sure. So it sounds like you think it's more something that you have to fix internally versus -- because we cover a lot of other companies too, I guess I was wondering if we were going to start to see weakness, more weakness from the Americas, but it sounds like you think it's probably something internal right now.
Stephen M. Bennett: I think the majority of our shortfall here relative to other parts of the world is an opportunity for us to be better.
John S. DiFucci: And if I might, just a quick follow-up for James on the guidance, the bottom line implies margin compression next quarter. And I apologize if I missed it, but what's the reason for that? I mean, you actually had some big outperformance this quarter, which is nice to see.
James A. Beer: So a couple of themes. First, where we're going to spend some money, where we feel as though -- in completely strategy-independent fashion, we need to deal with some issues that will allow us to do a better job with customers. So that's one item. And the second item really is a variety of nonoperating headwinds year-over-year: tax rate, foreign exchange, interest income -- interest expense, excuse me, so forth. So it's those 2 themes.
John S. DiFucci: So it sounds like it's probably the first one since you're building the business or making some corrections.
Stephen M. Bennett: No. Yes, John, this is my decision. We have been reducing costs and reducing service levels by lack of investment in delivering good customer experience for too many of our customers, and that's unacceptable to me. And I need to put my money where my mouth is because the idea of driving sustained organic growth where you have situations where we're not supporting existing customers in a fashion that I'm comfortable with is unacceptable to me. And that's why I said, "Look, if you define margin expansion in a quarter, I'm guilty here potentially or flat, but I will fund this investment and everything else with the announcement that we make in January." And I just don't want to wait until January to make the investment to do right by our customers now.
John S. DiFucci: Well, that all makes sense.
James A. Beer: And I should add that the second theme that I mentioned to you, the nonoperating, that's worth $0.03 year-over-year.
Operator: We'll take Robert Breza with RBC Capital Markets.
Robert P. Breza: Maybe James, just doubling back on the Consumer stuff, can you give us an idea of how many of the legacy customers or the non-mobile customers have moved or upgraded to the premium suites?
James A. Beer: Well, when you look at our 3 primary products for PC security, Norton 360 and Norton Internet Security are almost identical in size now. Norton 360 a little bit larger. But both of those businesses are more than 4x the size of Norton AntiVirus. So that gives you a feel for how we have successfully up-sold our customers, and we believe particularly armed with our eCommerce engine and the analytics that come with that, that we are well-positioned to continue that path.
Operator: We'll take Steve Ashley with Robert Baird.
Chaitanya Yaramada: This is Chaitanya Yaramada for Steve Ashley. License growth decelerated a little bit from last quarter and given Storage Management and DLP executed well, it seems like the Backup Exec business continues to be challenged. Could you just provide an update on how you're tracking and fixing the execution issues you saw last quarter? You said it'll take 2 to 3 quarters to fix, and what we can expect for license growth going forward?
James A. Beer: Yes, you're quite right. The Backup Exec is the driver of that license decline year-over-year. And we have continued to work on the products, put out multiple service packs since we were last speaking with each other 3 quarter -- 3 months ago. We do believe that these are self-inflicted wounds, if you will, and we acknowledge that, and we're working really hard to fix the situation. One of the other things that we're doing is very much reaching out to key customers and partners and bringing them into our design process to help us really get it right.
Chaitanya Yaramada: And then just your expectations for going forward?
James A. Beer: Well, I think, I alluded in my remarks, so there's still much work to do. So I would not expect the Backup Exec license performance to turn around in the next quarter or 2. And I think we've got plenty of work to do, but we're very focused on this, it's a very important product in the portfolio.
Stephen M. Bennett: And let me just add to James' thoughtful comments, is that we've changed basically the whole team responsible for this product. So this is unacceptable performance to me, and we're digging out of a hole. We've got some of our best talent in this business now focused on turning this around as fast as we can. This is a business that's going to get back to growth. We're going as fast as we can. The better we do, the faster we'll move. But I'm actually very confident that this business will turn around based on the leadership and talent we've put to fix this problem.
Chaitanya Yaramada: Great. And just a quick follow-up, if I may. We saw a nice rebound in the deals that include both security and storage for $1 million deals, but we saw the $300,000 deals cross-selling continue to decline. Any color on the discrepancy there and what's helping the $1 million deals?
James A. Beer: In terms of the $300,000 deal stat, I wouldn't read too much into a single data point. We continue to grow the number of the $1 million-plus deals in totality. And as you rightly point out, for those $1 million-plus deals that involve both security and storage, we're seeing nice growth in overall dollars. And so I think this is just a reflection of the continued relevance of our overall portfolio, and our efforts to continue cross-selling and up-selling. And we think that there is a lot of runway in front of us. A lot of opportunity to continue to do that, and that will be one of the things we'll be focusing on.
Operator: And we have Michael Turits with Raymond James.
James Wesman: It's James Wesman sitting in for Michael. James, just a quick question. What was your LiveOffice contribution guide for the next quarter?
James A. Beer: Well, we've now reached the point where we've lapped that acquisition, so we won't be offering projections of revenue for coming quarters.
Stephen M. Bennett: So it's organic growth now versus [indiscernible] ...
James A. Beer: Yes, in essence, organic. But I was pleased with that last quarter result. We had guided to $7 million to $8 million of revenue, you may recall, and we recorded $10 million. So we were pleased. It's illustrative of the momentum that we have in the Cloud archiving area.
Operator: [Operator Instructions] We'll move to Richard Williams with Cross Research.
Richard T. Williams: Could you give some geographic color in terms of business opportunities both on storage side and on security?
James A. Beer: Well, geographically, just taking a look back at the Q2, I think EMEA really put out a very nice performance, and they did particularly well in the security arena. I would call that out. Within Europe, we had strong performance in the U.K., in Germany and in our emerging regions of the EMEA geography. So very good to see that growth rate, and we continue to think we've got a lot of opportunities in front of us there. And in Asia, where we again recorded a nice constant-currency high single-digit growth rate. So nothing I would particularly offer as to a forward-looking geo split, but we're confident that the international business is going to grow nicely in the coming quarters.
Stephen M. Bennett: And I would add that I think this change in structure in having the geo leaders for the Enterprise businesses work directly for me is going to have more voice at the table now as we make decisions so that we will -- as I said, this is a big change in my view in a positive sense for both our customers that are not in North America and for our employees and for our channel partners. I think they will have more voice at the table to make sure we're integrating non-U.S. voices into our product roadmaps and our strategy. And so I would expect our growth outside the U.S. to accelerate because they've got a full seat at the table now, and that's one of the reasons why we delayered the organization and are now -- because so they can help us make sure we're doing the right thing for their geographies.
Richard T. Williams: Could you also comment on which products are selling well at the moment and which ones other than Backup Exec that you're focusing efforts to remediate?
James A. Beer: Well, on the storage side, NetBackup is growing very nicely across the world, and that's in part because of the growth of our appliances business. Something I mentioned in my prepared remarks. And then on the security side of the business, the information security, growth businesses, things like DLP, Managed Security Services, authentication, they all had very nice performance. So that's a little bit of an overview as to how things are looking.
Operator: Next, we have Shaul Eyal with Oppenheimer & Co.
Shaul Eyal: Steve, James, you guys had a strong showing in the Enterprise segment, as well as kind of Consumer. But specifically on the Enterprise side, should we be starting to think about Symantec going forward as a share gainer in this market? Without a doubt [ph] that wasn't the deal over the past couple of years.
Stephen M. Bennett: I think it's too early for me to answer that question. I think that you'll learn more about our strategy for that in the January announcement. I think that would be a big change from what we performed in the last few years. And so I would say that my focus at this point, as I said at the Citi Conference in New York is, 5% sustained organic revenue growth. Depending on how you define the markets, that's probably still share loss. But in the next 2 to 3 years, if we can deliver a plan and execute against a plan to deliver 5% or more organic growth, that would be a big positive statement. But that wouldn't be ultimately my end goal. So I think let's stay tuned for the details on that. I mean, you ultimately will have to be the ones to decide whether we'll become a share gainer or not. My short-term metric defined is 2 to 3 years is 5% sustained organic growth.
Operator: [Operator Instructions]
Stephen M. Bennett: Operator, if there's no more questions, that's fine. We want to take any questions anybody has, but if there's no more questions, we can -- Helyn can wrap up.
Operator: It appears there's no more questions in our queue at this time. That does conclude our question-and-answer session at this time. I'll turn it back over to our speakers for any final or additional comments.
Stephen M. Bennett: Look, I think, everybody, I said, I'd turn it over to Helyn, but let me just give you a few thoughts. It goes back to my script. I'm actually thrilled with how this team performed in this transition. It performed better than I thought. I think I am the one that made these hard decisions to sacrifice short-term profitability to invest in doing the right thing for the long term. I know that's the right thing for our company. I know it will yield benefits long term. And you got my commitment that I will fund that through the things I'm going to announce in January. So you understand based on my track record how sensitive I am to margin expansion and margin rate improvement, I just needed to make this decision now to keep our customer service at a level that I'll be proud of, as opposed to embarrassed about. And that's one of the advantages when you travel around the world and talk to your employees and customers. You don't grow if you're not delivering for customers, and we have not been doing as good a job as we needed to do, and that's why I'm spending more money here. Strategy independent, which I will fund through the January announcement. So that's my big message. I could have taken the short term and delivered more EPS. That would not have been the right thing to do to create long-term value. And so that's why we made the decision that we made. I think that's a decision that would not have been made in the past, but I know it's the right decision. So thanks for all your support, and I look forward to a much more robust decision or discussion in January after we announce both our new strategy and operating plan. Appreciate your support. Thank you.
Operator: Everyone, that does conclude our conference call for today. Thank you, all, for your participation.